Operator: Good morning, ladies and gentlemen, and thank you for standing by. Welcome to Sprott Inc.'s 2025 Second Quarter Results Conference Call. [Operator Instructions] As a reminder, this conference is being recorded today, August 6, 2025. I would now like to hand the conference over to your first speaker today, Mr. Whitney George. Please go ahead.
William Whitney George: Good morning, everyone, and thanks for joining us today. I'm starting on Slide 3. On the call with me today is our CFO, Kevin Hibbert; and John Ciampaglia, CEO of Sprott Asset Management. As you can see from Slide 3, all the turmoil has not aged us a bit. Our 2025 second quarter results were released this morning and are available on our website where you can also find the financial statements and MD&A. Slide 4. 2025 continues to be an eventful year. Since the April 2 Liberation Day tariff announcements, we have witnessed extreme volatility in all markets. A 20% correction in the S&P 500 Index, followed by a full recovery to new highs in 1 quarter is extreme, but not unexpected. As I noted in this quarter's letter to shareholders, we expect more of the same going forward. In the short term, we don't know what comes next, and we will avoid making any predictions. Turning now to our results. I'm pleased to report that our Assets Under Management increased by $5 billion in the second quarter to $40 billion. Net sales continued to accelerate during the quarter due to the rising interest in multiple metals. In addition to strong ETFs [Technical Difficulty] precious metals physical trust, we also completed 2 capital raises in the Sprott Physical Uranium Trust, which John will speak to more about in a few minutes. Our Managed Equity strategies continued to perform well, delivering strong results in the quarter and over the first half of 2025 and we also benefited from carried interest and performance fees crystallization in our Managed Equities segment. Earlier this year, we launched 2 new precious metals ETFs, and we are very pleased with the early results from these strategies. The Sprott Active Gold and Silver Miners ETF, our first actively managed ETF and the Sprott Silver Miners and Physical Silver ETF have been 2 of our most successful ETF launches to date hitting key AUM thresholds more quickly than any of our previous. With that, I'll pass it over to Kevin for a look at financial results. Kevin?
Kevin Lloyd Hibbert: Senior Managing Partner, CFO & Co-Head of the Enterprise Shared Services Thanks, Whitney, and good morning, everyone. I'll start on Slide 5, which provides a summary of our historical AUM. AUM finished the quarter, as Whitney noted, at $40 billion, up 14% from $35.1 billion as at March 31, 2025, and up 27% from $31.5 billion as at December 31, 2024. On a 3- and 6 months ended basis, we benefited from positive market value appreciation across the majority of our fund products and positive net inflows to our physical trusts. Slide 6 provides a brief look at our 3- and 6-month earnings. Net income this quarter was $13.5 million, up 1% from $13.4 million over the same 3-month period last year. On a year-to-date basis, net income was $25.5 million, up 2% from $24.9 million this time last year. Our flat net income performance was caused by a change in accounting requirements brought on by our new cash-settled stock plan that took effect this year largely offsetting much of the net income we otherwise generated on market appreciation and flows into our physical trusts and carried interest and performance fee crystallization in our Managed Equity segment. By way of background, cash settled stock plans like the one we implemented this year require the use of mark-to-market and graded vest accounting under IFRS 2 which creates the dual impact of accelerating the amount of vesting that occurs each period and adding market volatility to each vested amount. In our case, at a time when our stock has appreciated 54% in the quarter and 64% on a year- to-date basis. In contrast, last year, we had an equity settled stock program, that required each vest to be valued at the original grant date fair value on a constant basis over the entire amortization period. Adjusted EBITDA, on the other hand, which excludes quarterly volatility from items such as stock-based compensation, FX volatility and intermittent carried interest and performance fee crystallizations was $25.5 million for the quarter, up 14% from $22.4 million over the same 3-month period last year and was $47.4 million on a year-to-date basis, up 12% from $42.1 million this time last year. Adjusted EBITDA in the quarter and on a year-to-date basis benefited from higher average AUM on market value appreciation and inflows to our precious metals physical trust. However, offsetting these positives was our finance income being down due to last year's higher syndication fees and our net commissions also being down due to last year's Copper Trust IPO and higher ATM activity in our Physical Uranium Trust. Finally, Slide 7 provides a few treasury and balance sheet management highlights, and as you can see there, our cash and liquidity profile remains quite strong. For more information on our revenues, expenses, net income, adjusted EBITDA and balance sheet metrics, you can refer to the supplemental information section of this presentation as well as our quarterly MD&A and financial statements filed earlier this morning. With that said, I'll pass things over to John.
John Ciampaglia: Thanks, Kevin, and good morning, everybody. Thanks for joining us. We enjoyed a very strong operating results in the second quarter. As Kevin mentioned, with significant asset growth in our physical trusts product suite. A combination of market appreciation and net flows contributed to this growth. Gold, silver, platinum, palladium and uranium were all solid performers in the quarter. AUM was $31 billion as of August 1, which represents an all-time high for the physical trusts product suite. As the funds continue to grow in size, they benefit from an important scale effect, which drives liquidity which in turn begets liquidity. This is critical in order to attract more institutional capital as they begin to reallocate to the metal sector. Next slide, please. We enjoyed our strongest sales quarter in the past 3 years, driven by renewed interest as we said in multiple metals. Our business tends to produce the best results when multiple metals are working at the same time. As we discussed in previous quarters, metals like silver are finally experiencing a catch-up trade with gold. Silver remains undervalued relative to gold and is still well off its 2011 high. Since the beginning of 2021, our Physical Silver Trust has captured over 100% of net flows amongst U.S. listed peers, allowing us to grow our market share of assets meaningfully. Shifting over to uranium. Our Uranium Trust completed 2 novel capital raises, which were well supported by institutional investors. With the proceeds, Sprott has accumulated another 2 million pounds of uranium bringing our overall stockpile to 68.4 million pounds. And since the inception of Sprott 4 years ago, we have now purchased a total of 50 million pounds of uranium. Moving to Slide 10. Shifting to our suite of ETFs. We've seen a nice recovery in AUM since the market lows in early April. Assets have rebounded to $3 billion. We have been extremely pleased with the initial market reception for our 2 latest ETF launches, the Sprott Silver Miners and Physical Silver ETF, ticker SLVR, is off to a very strong start with assets of approximately $170 million. And just for context, there are so many new ETFs coming to market -- new ETFs in their first year of life somewhere -- attract somewhere around $5 million, just to put it into context. Our first actively managed ETF, the Sprott Active Gold and Silver Miners ETF is also gaining traction and is approaching $50 million. We believe there are strong opportunities to grow our market share with both of these new ETFs and obviously, they're very scalable. Moving to Slide 11 to talk about ETF flows. Overall, it was a solid quarter despite mixed results by product type. The precious metals mining ETFs are driving most of the flows, while the uranium mining ETFs have been under some redemption pressure of late. We attribute this to some investors shifting to the downstream segment of the nuclear energy sector as more market participants understand that we are entering another nuclear renaissance period. We expect this to be transitory as the price of uranium still remains quite low in our opinion and the uranium mining stocks represent good value to capture that upside. And with that, I'm going to pass it over to William.
William Whitney George: Thank you, John. We'll move now to Slide 12 for a look at our managed equity segment. As I mentioned in my opening remarks, our managed equity strategies have performed well this year. Our flagship gold equity fund was up 15.5% during the quarter and has gained 46% year-to-date. However, flows continue to lag performance and we reported $61 million in net redemptions during the quarter and $81 million on a year-to-date basis. One of the reasons we launched Sprott's Active Gold and Silver Miners ETF was to capitalize on investors' current preference for ETFs over mutual funds. GBUG, it allows strength of our investment team in an active strategy within an ETF wrapper, which is more transparent and tax efficient for investors. We are pleased with the early response to this new strategy, which actually yesterday just surpassed $50 million in AUM. Looking ahead, we expect to launch at least one additional active ETF before the end of 2025. I'll turn now to the private strategies on Slide 13. Private strategies AUM was $2.1 billion, down slightly from March 31, 2025. The decline reflects a net decrease in investments quarter-over-quarter, new investments less distributions to our partners across the lending and streaming and royalty segments. The team continues to assess new investment opportunities for Lending Fund III and is actively monitoring our streaming and royalty portfolio investments. Slide 14. To recap, we're pleased with our results over the first half of 2025. AUM has increased $8.5 billion year-to-date, driven by rising metal prices as well as $1.6 billion in net sales. Metal markets are experiencing a new kind of scarcity, which is placing upward pressure on prices. The global trade and inventory system for some metals is starting to break down due to geopolitical tensions, protectionist trade policies and resource nationalism. The result is greater volatility in spreads, higher regional price differences and a long-term premium on strategically essential metals. Gold has set a new series of record price [indiscernible] out to a 12-year high and Platinum was recently at its highest level in 10 years. Prices may stay elevated even without significant changes in traditional supply-demand metrics because it's become harder for metals to flow freely around the world. At Sprott, we're fortunate to be extremely well positioned to create value for our clients and our shareholders with an asset base divided between precious metals and critical materials investments. We look forward to reporting to you on our progress in the quarters ahead. That concludes our remarks for today's call, and I'll now turn it over to the operator for some Q&A. Operator?
Operator: [Operator Instructions] Our first question comes from Matt Lee from CG.
Matthew James Lee: Maybe starting with the housekeeping one. Can I just ask you how you determine the market value changes in private strategies? Like is it that market-to-market? Or is it recognized on the underlying investments to reach maturity?
Kevin Lloyd Hibbert: Senior Managing Partner, CFO & Co-Head of the Enterprise Shared Services Matt, it's Kevin here. Good question. So the accounting requires -- because they're loans, we have to use pull-to-par accounting. So it's basically amortized cost, but we also believe that amortized cost is a reasonable proxy for market.
Matthew James Lee: But some of them have like equity components, right, in the private strategies. And inevitably, if it's gold related and given how well the gold market has done, in theory, there's some market appreciation that's not captured in that market value change.
Kevin Lloyd Hibbert: Senior Managing Partner, CFO & Co-Head of the Enterprise Shared Services Well, the market -- so when you're dealing with those types of equity kickers, those equity kickers actually come out and then you have the pull-to-par accounting, that will get you back up to that ultimate amortized cost value. So in times like this, to your point, where the market value has gone up a fair bit, you will see some of that, but the equity kickers tend to make up a relatively smaller portion of the overall value of those loans.
Matthew James Lee: All right. Got it. That's helpful. And then maybe can you just give us an idea of what you're seeing in the uranium market in general? Spot market does seem to have pulled back a bit in the last month. But if you read the news, U.S. executive orders, international demand, both seem to point towards kind of an upswing. Is that kind of what you mean when you're saying there's going to be a nuclear renaissance on the way?
John Ciampaglia: Matthew, it's John. Yes, sure, I'd love to pick up on that. Yes, I think it's fair to say that the -- there's been kind of a disconnect between the physical uranium market and the overwhelming shift of energy policy support back to nuclear energy over the last 3 years? Most of that disconnect has been in the last 12 months, and it's been related to largely uncertainty around, obviously, the incoming administration. It was also in part to the price of uranium dumping very sharply in 2023 and early 2024, which I think made some utilities cautious about chasing the price. Now that we have some clarity in terms of the Trump administration's position with the 4 executive orders, which were incredibly holistic and beneficial for the sector as well as clarity on tariffs, which were not applied to uranium products or related fuel services, I think it's -- we're really set up right now for utilities to come back to market. And I'll just share a quick stat with you, which I think is very important. The industry basically operates through long-term purchase agreements. And to August 4 year-to-date, the industry has signed a grand total of 30 million pounds of contracts for future delivery. That's about 1/3 of replacement rate so far year-to-date. So it really signaled that utilities have not been actively buying. They've been on the sidelines because of all the distraction and noise, but we just yesterday got an early sign that a Korean utility came to market through a public RFP process for almost 9 million pounds of uranium that they're looking for. And we're now moving into the seasonal start of the contracting cycle, which starts with the World Nuclear Association Conference, which is going to start the first week of September. So we think that the utilities are finally starting to emerge from their hibernation and the price and the term market and the spot market should respond accordingly to that.
Operator: Our next question comes from Etienne Ricard from BMO Capital Markets.
Etienne Ricard: I'd like to cover copper. The Physical Trust is trading at quite a discount to NAV. I'm curious what do you think needs to happen for this discount to narrow? And more broadly, how is the current volatility to trade policies impacting demand for the Copper Trust?
John Ciampaglia: Yes. Etienne, it's John. I'll cover that. Well, the most notable thing about the copper market, which I'll start with, has obviously been up until a few days ago, the dislocation between CME and LME prices. And that was obviously due to uncertainty and tariff threats where CME prices, meaning copper stored in the U.S. warehouse was trading about 30% higher than copper sitting in a European warehouse. That obviously is unwound since -- in the last few days as tariffs were not applied as broadly as considered. So that dislocation between the 2 markets is now unwound. That has obviously created a lot of uncertainty and a lot of stress for traders and end users. With respect to the Copper Trust, yes, we acknowledge it is trading at a discount that we're clearly not happy with. It's approximately 20% discount, which is a real anomaly, an outlier relative to our other funds. One of the initiatives that is underway right now is that we have filed with the New York Stock Exchange an application to the SEC to duly list the vehicle. And part of the dual listing would envision a more robust and flexible redemption option. And that physical redemption and cash redemption option, if approved, would, in our opinion, in our experience, act as a very powerful incentive to close that discount to NAV. So we are obviously still in kind of a quiet period with the SEC but that is our best effort to address the product and help to tighten that discount. We have had an institution that has been under some stress that has been selling shares, that has also, I think, exacerbated the situation.
Etienne Ricard: Thank you, John. And a question maybe for Kevin. On operating expenses, can you remind us what incremental margins Sprott could achieve given the rising net flows?
Kevin Lloyd Hibbert: Senior Managing Partner, CFO & Co-Head of the Enterprise Shared Services Sorry, I don't understand the question.
Etienne Ricard: Well, so currently, you're generating about 60% adjusted EBITDA margins. How do you think about incremental margins as you raise more AUM?
Kevin Lloyd Hibbert: Senior Managing Partner, CFO & Co-Head of the Enterprise Shared Services Okay. Got you. Okay. Thanks for that. Well, I think one of the things that can help you or any analyst or investor looking at the story to get a sense of what's left as far as margin expansion opportunities. As the earnings base grows. And to the extent that, that growth is coming primarily from our Exchange Listed Products segment. What will just happen is you'll see a greater proportion of that business making up the consolidated results. And if you just look at the margins of that business, it's a little north of 80%. So in other words, as that business continues to grow and make up a bigger proportion of our overall consolidated results, you should see that 60% margin climbing higher. In theory, if the Exchange Listed Products segment made up a significantly bigger portion of the overall business, then you would see the number getting closer to that 80% number there. But as Whitney's mentioned over the last few quarters, we do reinvest in the business to continue to achieve that growth. And so that will offset that climb a fair bit as well. So basically, if there was a high end, you're probably looking at somewhere a little closer to where the exchange listed business is right now, which is, I think it's Page 14 of the of the shareholders' report. And then the low end would be, to the extent the Managed Equities business became a bigger portion since that's the lower margin segment that we'd have.
William Whitney George: I'd add to that, we would like to grow the lower-margin businesses because they carry higher fees on AUM. So we would trade off margin expansion for absolute net income growth for sure. But we've been blessed by having these physical trusts do very well. And it's certainly our hope that other divisions catch up at some point.
Kevin Lloyd Hibbert: Senior Managing Partner, CFO & Co-Head of the Enterprise Shared Services And then sorry to pile on with that, but that was another good point on Whitney's and that -- those businesses are also where all the carry and performance fees come from.
Operator: Our next question comes from Graham Ryding from TD Securities.
Graham Ryding: Maybe I could start on that carried interest performance fees. Can you just give us some color on like maybe what the contribution was in the quarter from I think there was one fund that you -- it was sort of in a wind up and then there was also some contribution from your active mining equity fund. Can you maybe give us some color on the mix?
Kevin Lloyd Hibbert: Senior Managing Partner, CFO & Co-Head of the Enterprise Shared Services Yes, sure. It's Kevin here, Graham. How is it going? So I'd say probably roughly about 65% -- 65% to 70% would have come from that legacy Exploration LP and the rest would have come from our resource exploration and development and active equity fund.
Graham Ryding: Okay. And then on that, it looked like the sort of the payout or the compensation payout was quite low relative to the, I think, $15 million in total carried interest and performance fees. Any reason why that was so low?
Kevin Lloyd Hibbert: Senior Managing Partner, CFO & Co-Head of the Enterprise Shared Services Yes. The -- so because it's from that -- the majority of it was from that Legacy LP, when we reimagined and restructured the business, and exited those areas, we were left at those exploration LPs that we're now harvesting for cash and in the process of closing down so the folks that would have otherwise had a bigger claim on that P&L are no longer here. So we're in the enviable position of retaining it for our shareholders. And that's pretty much the reason.
Graham Ryding: Yes. Okay. That makes sense. And then my last question on this theme is just can you give us any sort of color on sort of outlook maybe multiyear or next year, how you're thinking about the outlook for carried interest and performance fees because if I look historically, I think you're averaging about 3% of your net fees would come from carried interest and performance fees. But this quarter was obviously a big outlier. So it doesn't feel like we should be using this as a run rate. But can you give us any sort of color on what your expectations are?
William Whitney George: Do you want me to take that, Kevin?
Kevin Lloyd Hibbert: Senior Managing Partner, CFO & Co-Head of the Enterprise Shared Services Yes, sure, Whitney.
William Whitney George: So generating performance fees, carried interest in the second quarter have been unusual. We have one small fund. It's an exploration partners fund that crystallizes performance fees semiannually, but most of our funds in Managed Equities calculate them and get them at year-end. So that's kind of the timing of most of these come. And then, of course, there is a lending franchise, and those are long- term partnerships, and we earn those fees at the end of those partnerships. Lending Fund II will wind up sometime maybe late next year. And that's when those lumpy performance or carried interest would show up, but I think it'd be very hard. I certainly wouldn't try and model them in on a long-term basis.
Graham Ryding: Okay. Understood. And then my last question, if I could be a bit greedy here, just flows quarter-to-date. It looks like I'm estimating about $100 million or just north of $100 million. Does that sound right?
Kevin Lloyd Hibbert: Senior Managing Partner, CFO & Co-Head of the Enterprise Shared Services John, do you want to take that?
John Ciampaglia: Yes. Graham, I don't have the number in front of me. I think it's fair to say that with heightened volatility in metals markets, which is what we've been experiencing, obviously, for the last 2 months, that does put us in a stronger position to issue new equity because of the requirement we need to achieve, which is issued above NAV. So that volatility, while markets and traders don't like it, it's actually positive for our business. And we have seen pretty consistent sales and it seems as though platinum carries the baton for a few weeks and then it goes to silver and then it goes to gold. And I think that's what's really helped our business is that we've had multiple metals kind of pulling the load and contributing here. So I think that's why we've had such good sales in the last 4 months or so.
Kevin Lloyd Hibbert: Senior Managing Partner, CFO & Co-Head of the Enterprise Shared Services And just remind me, Graham, you were saying what number did you say, Graham, you said $100 million, you have roughly?
Graham Ryding: Yes. For your exchange-listed products, I had just over $100 million a quarter like basically through July?
Kevin Lloyd Hibbert: Senior Managing Partner, CFO & Co-Head of the Enterprise Shared Services Yes. We're probably a little higher than that.
William Whitney George: On the other hand, we have had redemptions in some of our ETFs, particularly the uranium ETFs. So that's a little bit of an offset that might bring you down a bit.
Kevin Lloyd Hibbert: Senior Managing Partner, CFO & Co-Head of the Enterprise Shared Services Yes. So with the offset that Whitney -- sorry. So I was just going to say, Graham, with the offsets Whitney talked about and what you're probably missing, you probably want to be a little closer to $150 million.
Graham Ryding: Okay. Sounds good.
Operator: Our next question comes from Mike Kozak from Cantor Fitzgerald.
Michael Peter Kozak: Whitney, John, and Kevin, just 2 questions for me. First one, maybe just at a higher level. You kind of got and John, you alluded to it just now, but you have multiple metals, metals kind of firing on all cylinders, gold at all-time highs. Silver, I think, made a 14-year high a couple of weeks ago. And then you guys reported a very nice cash build in the second quarter, I believe, about $20 million in free cash flow in Q2. How do you think kind of the corporate level about the dividend policy? Would you ever consider a special dividend when you have multiple metals running like this?
Kevin Lloyd Hibbert: Senior Managing Partner, CFO & Co-Head of the Enterprise Shared Services We brought that up with a lot of our shareholders. Most of them don't like special dividends. I always thought that if particularly when we've got performance fees or carried interest or one-off kind of windfalls that might be a way to distribute to shareholders. But I think the current thinking is that we're going to continue to maintain a high payout on our earnings. And if things persist and continue to grow, certainly, you should expect the dividend to grow. We are coming into kind of a difficult period for markets in general. And so we remain committed to buying shares back opportunistically. And there are always a few items worth looking at in the acquisition area, but none significant, I would say, at this point.
Michael Peter Kozak: Okay. And then my second question, and John, you kind of mentioned on the call, and I would agree with you that rightly or wrongly, the interest in the last couple of months has been elsewhere in the nuclear fuel cycle, specifically with the conversion enrichment, some of the SMR tech companies. My question is, would you consider an ETF that tracks that section of the fuel cycle, I certainly think it would be well received in current market conditions.
John Ciampaglia: Mike, nice to check. Yes. Look, I mean, we're obviously very opportunistic and innovative at Sprott. I think our track record confirms that. And we're always looking for new ideas. We have strict criteria around what we will do and not do. ETFs are very crowded. So the last thing we want to do is to create another me-too product. But we do acknowledge that the interest in the space has shifted somewhat. Some of those stocks have gotten way ahead of themselves. So we have to be kind of mindful of what people are chasing. But yes, we're always open to different ideas, but we don't also want to stray out of our lane, which I think has been very helpful, and it allows us to really build on our core strengths and our competitive advantages.
William Whitney George: Yes. If we can find a way to make something better that brings our mining expertise to bear, that's certainly something we'd look at. But again, we want to be focused on what we think we're best at, and that's in metals and mining.
Operator: [Operator Instructions] Okay. I'm showing no further questions at this time. This concludes the question-and-answer session. I would now like to turn it back to Whitney George for closing remarks.
William Whitney George: Thank you, everyone, for participating in this call. We appreciate your interest in Sprott and look forward to speaking to you again after our third quarter results. Have a great day.
Operator: Thank you for your participation in today's conference. This does conclude the program, and you may now disconnect.